Operator: Good morning, and welcome to the Icahn Enterprises, L.P. Third Quarter 2013 Earnings Conference Call, with Felicia Buebel, Assistant General Counsel; Daniel A. Ninivaggi, President; and SungHwan Cho, Chief Financial Officer. I would now like to hand the call over to Felicia Buebel, who will read the opening statements.
Felicia Buebel: Good morning. I'll now read the Safe Harbor statement. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for forward-looking statements we make in this presentation, including statements regarding our future performance and plans for our businesses and potential acquisitions. These forward-looking statements involve risks and uncertainties that are discussed in our filings with the Securities and Exchange Commission, including economic, competitive legal and other factors. Accordingly, there is no assurance that our expectations will be realized. We assume no obligation to update or revise any forward-looking statements should circumstances change, except as otherwise required by law. This presentation also includes certain non-GAAP financial measures. And now I'd like to turn the program over to Dan Ninivaggi, our President and CEO.
Daniel A. Ninivaggi: Thanks, Felicia. Good morning and welcome to the Third Quarter 2013 Icahn Enterprises Earnings Conference Call. Joining me on today's call are SungHwan Cho, our Chief Financial Officer; and Keith Cozza, the CEO of Icahn Capital. This year, we have continued to use the Activist model to build on the success Icahn Enterprises has had over the last several years. Since April 2009, when the economic recovery started, an Investment in IEP stock has resulted in a total return of approximately 350% and IEP's indicative net asset value has increased by approximately 280%. Even more importantly, in our opinion, there's never been a better time for Activist investing then there is today. Corporate balance sheets are carrying excess cash, credit market conditions remain favorable and in many cases, organic growth opportunities are limited. Activism is often the catalyst needed to drive highly accretive M&A activity and efficient capital allocation. And no one has employed the Activist model longer and more successfully than Carl Icahn and our team. As a result, we believe our best days are ahead of us. I'd refer you to Carl's quote in our earnings release where Carl had described the market opportunity in what I believe is the -- only as he can. Now turning to our third quarter and year-to-date financial results. I'll begin by providing some brief highlights. Sung will then provide an in-depth review of the performance of our business segments and we'll then be available to take your questions. Icahn Enterprise's net income for the third quarter of 2013 was $472 million, or $4.10 per depository unit, compared to net income of $84 million or $0.75 per depository unit in the prior-year period. The strong quarterly results were primarily driven by the performance of the Investments segment during the period, which benefited from large equity positions in Netflix, Chesapeake, Herbalife, Apple, among other investments. Our Investments segment had a return of 18.4% for the third quarter and a 26.3% return year-to-date through September 30. For the first 9 months of 2013, the company had net income of $803 million, or $7.17 per depository unit, versus net income of $390 million, or $3.69 per depository unit in the first 9 months of last year. Turning to our operating subsidiaries. Federal-Mogul posted a profitable third quarter with a 9% overall increase in sales over the third quarter of 2012. Federal-Mogul sales in Europe, the company's largest OE market, were up 12% in the third quarter, largely due to market share gains in the Powertrain segment, growth in export engine production and increased sales in the aftermarket. What is particularly impressive is that Federal-Mogul is doing reasonably well in Europe, despite very weak, light and commercial vehicle production. And at the same time, it is continuing to experience strong growth in other major markets. Federal-Mogul completed a $500 million common stock rights offering during the quarter to facilitate a refinancing of its debt. IEP purchased 434 million of additional shares at $9.78 per share, bringing our ownership position to 80.7%. A portion of the rights offering proceeds were used to repay Federal-Mogul's term debt. In our Energy segment, third quarter results were significantly impacted by the downtime at CVR's Coffeyville refinery due to a failure of a major piece of equipment. In addition, crude differential tightening in late August and crack spreads weakened during the quarter further impacting CVR's results. The refinery resumed full operations in mid-September and sustain processing raids [ph] thereafter averaging approximately 115,000 barrels per day for the remainder of the quarter, which is actually quite strong. Crude differentials have recently widened, and we believe the crack spreads should improve over time. CVR has also hedged a significant portion of its 2014 production at a crack spread of approximately $28 per barrel. ARI had an excellent third quarter driven by continued strong tank car demand along with an improving outlook for Hopper cars. In October, ARI received the multi-year order for in excess 2,700 plastic pellet cars from CP chemical. The company also continues to build its own lease fleet, which will exceed 4,000 railcars by year end. In addition, in October we merged IEP's Railcar leasing business with American Railcar leasing, an affiliate, to create a larger Railcar leasing company with approximately 30,000 railcars and $230 million to $250 million of projected EBITDA in 2014. IEP now owns 75% of ARL, and we expect continued growth in the leasing business going forward. In our Food Packaging segment, this case [ph] is enjoying a record year largely from the expected benefits from recent investments and capacity expansion. And in our Gaming segment, Tropicana entered into a purchase agreement during the third quarter to acquirer Lumiere Place Casino, Lumiere Hotel, in addition to the Four Seasons Hotel in Downtown, St. Louis. This transaction will make a great addition to Tropicana's already diversified regional Gaming properties. And finally, IEP's balance sheet remains strong. As of the end of the third quarter, we had nearly $1 billion of cash at the holding company as well as $3.6 billion invested in our Investments segment. With that, I'll turn it over to Sung and then we'll be back again to answer your questions.
SungHwan Cho: Thanks, Dan. I will begin on Slide 4 by briefly reviewing our consolidated results for Q3 2013 and then highlight the performance of our operating segments and comment on the strength of our balance sheet. Net income attributable to Icahn Enterprises for Q3 2013 was $472 million compared to income of $84 million in the prior-year period. Year-to-date, net income attributable to Icahn Enterprises increased from $390 million to $803 million. As you can see it on Slide 5, the change in Q3 in year-to-date net income from the prior year were primarily due to strong performance in the Investment funds that Dan had mentioned earlier. We ended Q3 with consolidated cash and cash equivalents of approximately $3.3 billion and our direct investment in the Investment funds was $3.6 billion. I will now provide some more detail regarding the performance of our individual operating segments. Our Investment segment had a gain attributable to Icahn Enterprises of $529 million for Q3 2013 due to the strong performance of our direct investment in the funds during the quarter. The Investment funds had a gross return of 18.4% for Q3 2013, compared to negative 1.2% for the prior-year period. Q3 2013 results were driven by several of our core long equity positions that Dan mentioned earlier. During Q3 2013, the fund's net equity exposure was 52% compared to 13% at the end of 2012. The fund's long equity exposure had a 24% return for the third quarter of 2013, while the fund's short equity exposure had a negative return of 4%. The fund's net credit exposure at the end of Q3 was approximately 6% and generated a return of under 1%. During the third quarter, we invested an additional $500 million into the Investments segment. As of September 30, 2013, our Investments segment had approximately $8.1 billion of assets under management, which includes IEP's $3.6 billion Investment in the funds. And now to our Energy segment. As Dan mentioned earlier, CVR's third quarter results were heavily impacted by downtime related to the fluid catalytic cracking unit outage at CVR Refining's Coffeyville refinery. Significantly weakened cracks spreads and product bases as well as tightening crude differentials in late August further impacted Q3 results. The refining business reported Q3 2013 adjusted EBITDA of $34 million, compared to an adjusted EBITDA of $444 million in the prior-year period. Refining margin adjusted for FIFO impact per crude oil throughput barrel was $8 in Q3 2013, compared to $33 during the same period in 2012. The Fertilizer MLP reported Q3 2013 adjusted EBITDA of $28 million on net sales of $69 million, compared to adjusted EBITDA of $39 million on net sales of $75 million for Q3 2012. For Q3 2013, average realized plant gate prices for UAN and ammonia were $259 per ton and $505 per ton, respectively, compared to $290 per ton and $578 per ton, respectively, for the same period in 2012. The fertilizer business produced 100,400 tons of ammonia during Q3 2013, of which 2,400 net tons were available for sale, while the rest were upgraded to a record 239,000 tons of UAN. Now turning to Federal-Mogul. Federal-Mogul's Q3 2013 sales of $1.7 billion were up 9% from Q3 2012. Adjusted EBITDA in Q3 2013 was $147 million, or 8.7% of sales versus $103 million or 6.6% of sales in Q3 of 2012. The Powertrain segments revenues increased by 11% in Q3 from 2012 with strong light vehicle market share gains. Powertrain in Q3 2013 had adjusted EBITDA of $94 million, up $40 million from $54 million in Q3 2012. Adjusted EBITDA as a percentage of sales increased by -- increased to 9% in Q3 2013 from 5.7% of sales in Q3 2012, as the Powertrain segment implemented cost-reduction measures, continued restructuring actions, benefited from higher sales volumes and more stable order flow, allowing for greater operational efficiencies. The VCS segments revenue in Q3 2013 was $734 million, up 5% from Q3 2012. The improvements were based on our strong improvement in European sales as well as modest growth in North America. The VCS segment had adjusted EBITDA of $53 million or 7.3% of sales in Q3 2013, up from $49 million or 7% of sales in Q3 2012. As Dan mentioned earlier, Federal-Mogul completed a $500 million rights offering during the quarter to facilitate a refinancing of its debt. IEP purchased 434 million of additional shares bringing our ownership to 80.7%. The company's continuing to monitor the debt markets and will refinance its debt when market conditions warrant. Now turning to our Railcar segment. Our Railcar segment is primarily comprised of our controlling interest in American Railcar Industries, or ARI, in addition to a growing lease fleet at AEP leasing, a wholly-owned subsidiary of IEP. AEP leasing's lease fleet at the end of Q3 2013 consisted of approximately 1,870 cars. The total lease fleet including both ARI and AEP leasings railcars was approximately 5,650 cars as of September 30, 2013. Subsequent to quarter end, IEP combined its railcars with those of American Railcar Leasing, or ARL, a railcar leasing operation that is historically been owned and controlled by Carl Icahn. The combined company will own approximately 30,000 railcars. And in 2014, it is expected to produce between $230 million and $250 million of EBITDA. Beginning with our 2013 10-K, this entity will be consolidated into IEP due to our 75% ownership in ARL. Railcar shipments for Q3 2013 were approximately 1,540 railcars, including approximately 860 railcars to leasing customers, as compared to 1,460 railcars for the comparable prior-year period, which included approximately 440 railcars to leasing customers. As of September 30, 2013, ARI had a backlog of approximately 6,300 railcars, including approximately 4,000 railcars for lease customers, which include IEP's lease fleet. According to the Railway Supply Institute, the railcar manufacturing backlog increased to 74,000 railcars at the end of Q3 compared to 61,000 railcars a year ago. Subsequent to quarter end, ARI received a 2,750-car order for plastic pellet cars to be delivered between 2014 and 2016. Manufacturing revenues were $205 million for Q3 2013, an increase of 11% from the prior-year period. The primary reason for the increase was higher volumes of railcar shipments for direct sale, as well as a higher mix of more specialized tank cars. Tank demand remains solid despite further easing in tank for quarter rates. Gross margin from Manufacturing Operations were 21% in Q3, compared to 19% in the prior year. Revenues and profit on cars put into the lease fleet are eliminated in consolidation, and the cost associated with those cars are recognized in the balance sheet and PP&E. $97 million of revenue and $26 million of profit were eliminated in consolidation in Q3 2013, compared to $55 million of revenue and $7 million of profit in Q3 2012. ARI adjusted EBITDA was $43 million for Q3 2013 compared to $37 million in 2012. The increase was primarily driven by higher volumes of Railcar shipments and a better mix of high-margin tank cars. Our Railcar segment's liquidity position is strong with $115 million of cash and cash equivalents at the end of the quarter. Now, turning to our Gaming segment. Total Gaming segment revenues were $153 million in Q3 2013 compared to $171 million in Q3 2012, primarily due to a decrease in casino revenues. The decrease in casino revenues was primarily due to a 6.8% decrease in consolidated Gaming volumes, due to lower gaming volumes at Atlantic City and the Baton Rouge properties. Tropicana's consolidated gaming hold percentage was 9.7% for Q3 2013, compared to 10.2% in the prior year. Tropicana's consolidated adjusted EBITDA for Q3 2013 was $22 million, compared to $30 million in the prior year. The decrease in EBITDA was primarily due to lower revenues in Atlantic City and Baton Rouge. Tropicana had a solid balance sheet with approximately to $245 million in cash at the end of the quarter. Now, turning to Food Packaging segment. Net sales for Q3 2013 increased by $8 million, or 10% compared to the prior-year period. The increase was primarily due to higher volumes in addition to favorable price and product mix and foreign currency translations. The emerging markets continue to drive the growth in our business. Year-to-date sales to emerging markets grew 14% from 2012 and now constitute over 50% of global sales. Consolidated adjusted EBITDA of $17 million in Q3 2013 was a $3 million improvement over the prior-year period. We are seeing the benefits year-over-year of the capital spending we made in 2011 and 2012. Cash at the end of the quarter was $14 million for our Food Packaging segment. And now, to our Metals segment. Net sales for Q3 2013 increased by $7 million, or 3% compared to the prior year. The increase was primarily driven by higher ferrous and nonferrous shipment volumes. The increase in the ferrous volumes was largely driven by improved demand from steel producers. Higher nonferrous shipments volumes were due to the increased demand in the southern region. Adjusted EBITDA improved to a loss of $1 million in Q3 2013 from a loss of $3 million in Q3 2012. Material margins are improving, but however, continue to be compressed as a weak selling environment and competition for feedstock continues to negatively impact margin percentages. PSC has taken measures to align our cost to the environment, including idling several yards and shredders running below capacity. And now for our Real Estate segment. Q3 2013 Real Estate revenues were $23 million, which was slightly below the comparable prior-year quarter. Revenues from our Real Estate operations for both periods were substantially derived from our rental and resort operations. Our net lease portfolio continues to drive earnings in this segment with its 29 properties generating strong cash flows. Now to our Home Fashion segment. Q3 2013 net sales decreased by $7 million compared to the prior year. The decline in sales reflects the company's focus on products and customers that match its manufacturing and distribution strengths. Looking forward, we are excited by the new brands and believe we will have solid placements in 2014. Despite the sales decrease, adjusted EBITDA was a positive $2 million in the third quarter compared to break even in the prior-year period. Gross margins were 16% in Q3 compared to 11% in Q3 2012, primarily due to the effects of exiting certain unprofitable programs I mentioned earlier. At the end of the quarter, Westpoint had $16 million of cash. Now I will discuss our liquidity position. We maintain ample liquidity at the holding company in that each of our operating subsidiaries to take advantage of attractive opportunities. We ended Q3 2013 with cash, cash equivalents, liquid assets and our Investment in the funds totaling approximately $6.8 billion. As Dan mentioned earlier, we completed a $500 million debt offering during the third quarter, which, in effect, replaces the convertible notes with [ph] the fees earlier in the year. Our holding company cash at the end of the quarter was approximately $958 million. Our subsidiaries also have over $2.3 billion of cash and $0.9 billion of undrawn credit facilities to enable them to take advantage of attractive opportunities. On the next slide we have provided an indicative net asset value over the last year. As you can see, the net asset value, net of debt, has increased steadily every period and has increased 33% so far this year. In summary, we continue to focus on building asset value and maintaining ample liquidity to enable us to capitalize on opportunities within and outside of our existing operating segments. Thank you. Operator, can you please turn it over for questions?
Operator: [Operator Instructions] Our first question comes from Dan Fannon from Jefferies.
Daniel Thomas Fannon - Jefferies LLC, Research Division: I guess, if we could start with the Railcar segment, and if you can kind of give us some background on the subsequent to quarter end, the transaction with American Railcar Leasing, kind of the cost basis or the capital outlay that resulted in this consolidation?
SungHwan Cho: Sure. In terms of the -- what was contributed, what we contributed was the existing cars in the AEP leasing fleet, as well as 200 -- approximately $280 million of cash, which, combined with ARL's existing railcars, resulted in our 75% ownership position. In terms of the rationale, we think this makes a lot of sense for IEP. We continue to be pretty bullish on the Energy segment and the kind of the North American energy evolution, with the crude oil being produced in North America and the crude barrels produced is up over $1 million -- or sorry, 1 million barrels per day year-over-year, and we think that's going to continue to go -- continue to be strong going forward. So we think railcars is a great way to play that. A lot of the demand for Railcars is been driven by this North American energy revolution, especially tanks and some of the hopper cars that we have in our portfolio.
Daniel Thomas Fannon - Jefferies LLC, Research Division: And so this was a legacy Investment that was in another vehicle that Carl had? And I guess is there a -- so the cost basis is what that it's coming in at?
Daniel A. Ninivaggi: Yes. ARL was 100% owned by Carl among his personal investments. And so when it comes into IEP, because it's an entity under common control, we'll have to use pooling account going forward. And so therefore, when the 10-K comes out, you'll see that our historical returns will include the historical results of ARL along with its historical basis.
Daniel Thomas Fannon - Jefferies LLC, Research Division: Okay. So in the quarters, there was a $200 and I guess -- I think it was $275 million you said, outlay for that and then another $500 million that went into the fund? Is that correct as well that you guys -- from a capital deployment perspective at the corporate level?
Daniel A. Ninivaggi: Yes, well the $280 million went in, in October and the $500 million Investment in the funds went in during Q3.
Daniel Thomas Fannon - Jefferies LLC, Research Division: Okay and just can you give us a background or kind of a thought process on putting more money into the fund at this point? Or kind of even going forward, how -- I know that money can come in and out, but just thinking about that prospect going forward, is that something we should anticipate over the next 12 months, you continuing to allocate more capital to the fund vis-à-vis other slivers of your -- of the portfolio?
Daniel A. Ninivaggi: Yes. So I mean we said in the past that we target up to $1 billion of liquidity at the holding company. And over the past several years, it's ranged from $500 million to $1 billion. We'll look at the capital requirements over the next 12 months and calibrate that number. If we have excess cash, we'll put in the fund. If there are other Investment opportunities either within the existing operating segments or elsewhere, we'll hold it back and use it for that. So we're constantly taking a look at what we think our cash requirements will be over the next 12 months, and that's what the decision is based on.
Daniel Thomas Fannon - Jefferies LLC, Research Division: And then just to follow-up on that, I guess, and how does that play out with regards to thinking about the dividend going forward in the dividend policy and potentially raising that in terms of returning capital to shareholders? And then thinking about the evolution of the portfolio in terms of envisioning how this will look in the next 12 months, do you anticipate more slivers, more add-ons or just kind of status quo with where things sit today?
Daniel A. Ninivaggi: Well the dividend -- I mean, we evaluate the dividend every quarter. And it's part of the discussion of what our capital commitments and opportunities are. Frankly, we see a lot of investment opportunities in the existing operating segments as well as through the hedge fund. So we evaluate that all the time and we'll see how it goes.
Daniel Thomas Fannon - Jefferies LLC, Research Division: So the last year, you guys changed your dividend policy. You increased it, I guess, is that something that we should -- on an annual view, you revisit it quarterly, but is -- are you targeting like a steadily increasing dividend? Or is this kind of a stated payout ratio and/or number and then we should just anticipate that to be kind of static at this point?
Daniel A. Ninivaggi: It's not a stated payout ratio. We believe that our investors appreciate a high-yielding stock, so we're cognizant of that. And it's our objective to maintain a high yield on the units. But there's no stated payout ratio or target payout ratio. As I said, we evaluate it every quarter in light of our other capital commitments and opportunities. And if it's appropriate to increase it, we'll increase it.
Operator: Our next question comes from Lance Lessman from LL Capital.
Lance Lessman: 2 quick questions. One is at the end of the second quarter, you disclosed NAV as of July 31, and I was wondering if there was any reason why you didn't do a 10/31 NAV this quarter, because the intervening month looks like a pretty good one to me. I was assuming up about $5 a unit.
Daniel A. Ninivaggi: Yes so when we started down this road of issuing more equity to get more liquidity in the stock, we used NAV, put it out there as one -- a reference point for increasing basically asset value over time. We put the calculation of the gross NAV at the back of the deck and it's there. We don't really intend to update it monthly. So we just did it as of the end of the quarter.
Lance Lessman: Got it. And so it was just sort of idiosyncratic you did it in -- during the summer?
Daniel A. Ninivaggi: Yes. We were doing in equity offering at the time. So the -- I think the number had to be disclosed anyway. We wanted to update the number for that purpose, so we put it out there. But generally, we're going to stick to just quarterly calculation.
Lance Lessman: Got it. And just one quickie. Is the right number to use 113 million units or 115 million fully diluted? I keep on getting confused between some of the numbers in the statements and then some other numbers which include like a general partners interest.
Daniel A. Ninivaggi: The right number should be the higher number that you mentioned there.
Lance Lessman: 1-1-5 ?
SungHwan Cho: Yes. I mean, they're -- it might be a little higher. There's the stock dividend which gets issued every quarter. So there are additional units issued, I think, subsequent to quarter end. But generally, the GP owns a 1% interest in Icahn Enterprises.
Lance Lessman: And GP Alexis distribution units, or Mr. Icahn Alexis distribution in units on a recurring basis, historically?
Daniel A. Ninivaggi: That's right.
Operator: [Operator Instructions] Our next question comes from Andrew Berg from Post Advisory Group.
Andrew Berg - Post Advisory Group, LLC: Dan, a couple of quick questions. On Energy, did you say that the spread was hedged at $28? And is that $28 comparable to the $8 that you have in the presentation?
Daniel A. Ninivaggi: It's roughly comparable. That's refining margin, but it's roughly comparable. It's $28 for the amount that's hedged in 2014. So a little bit -- a few pennies less than that, but approximately $28.
Andrew Berg - Post Advisory Group, LLC: And how much -- can you say how much is hedged?
Daniel A. Ninivaggi: Yes, about 16 million barrels.
Andrew Berg - Post Advisory Group, LLC: Okay. And what percentage of production is that?
Daniel A. Ninivaggi: They do 65 million to 70 million barrels a year in a normal year.
Andrew Berg - Post Advisory Group, LLC: Okay. And have you guys made any decisions yet on -- sorry, switching to Gaming. How are you going to finance Lumiere?
Daniel A. Ninivaggi: Yes. We're working on it. I don't think we've announced anything publicly, so I can't comment on it. But obviously they have plenty of borrowings. They have a lot of cash on the balance sheet. They have plenty of borrowing capacity in the bank markets, so that's the likely scenario.
Operator: I show no further questions at this time.
Daniel A. Ninivaggi: Okay. Thanks, everybody, for joining the call. We look forward to a strong finish of the year. Have a good day. Take care.